Operator: Hello. Welcome to the ASUS Quarter One 2025 Online Investor Conference. Today's conference will be held by ASUS Computer Co-CEO Samson Hu; and CFO Nick Wu. The conference will be divided into two parts. In the first part, CFO Nick Wu will start by outlining our quarter financial results. Next, our CEO will go over the operational strategy and business outlook. For the second part, we will be conducting a QA. You are welcome to raise any questions you might have in the panel on the left side of the webpage. Questions will be collected and answered. Let us start with the presentation from CFO Nick Wu.
Nick Wu: Dear investors, good afternoon. Please to refer to slide five. This page shows ASUS consolidated brand income statement for quarter one 2025. First, our quarter one revenue came in at TWD135.2 billion, up 18% year-over-year. Revenue this quarter exceeded our internal expectations, this was driven primarily by several factors, the first being growth in the PC and laptop shipment growth. Secondly, we also saw higher server shipments, so both of these contributed to the stronger-than-expected performance. Next, please refer to our operating profit, which was TWD11.5 billion, this represents a 147% increase year-over-year. For the operating profit, there were two key factors worth noting. First, we saw improvements in product gross margin, particularly in our component business thanks to the introduction of new gaming platform. This has lifted margins for our graphics cards and motherboards. And as the platform rolls all to our gaming laptops, we expect that the upward trend in gross margin may persist into quarter two, so that's the operating margin side. On the operating expenses side, we saw the benefit of the reversal of a previously provisioned bad debt. Specifically in quarter four last year, we set aside TWD5.3 billion in provisions for a doubtful account related to an Indian customer. We were able to recover that in the end of quarter one. So if we compare the adjusted operating profit. So if you look at the blue, dark blue row at the bottom of the slide, you have the pro forma operating profit statement. In quarter four, last year we had a pro forma operating profit of TWD6.3 billion and quarter one this year excluding the reversal had TWD6.1 billion. So in both quarters our operating margin was 4.5%, which is healthy and stable. On a year-over-year basis the adjusted quarter one figure still represents a 32% growth. We believe these numbers provide a clearer view of our operational trends and the strength of our performance. Net income after tax for quarter one was TWD12.8 billion, up 135% year-over-year and EPS for the quarter came in at $7.2. So I would like to take a moment to elaborate on our approach to the provisioning of the bad debt and recovery. ASUS has always adhered to a pragmatic and grounded approach to corporate management. We place strong emphasis on corporate governance, regulatory compliance and internal controls. So, based on these foundations, we are committed to providing transparency to the investment community and the media to ensure that everyone has the complete information needed to make informed decisions. So these principles have guided us in handling this round of bad debt provisioning and reversal. I hope that long-term this will reflect positively on our commitment on being a trustworthy and dependable company. We strive to avoid inappropriate item recognition or hidden risks in our financial results and we believe that this is the standard we need to uphold. So this is my supplementary explanation for your reference. Next, let's turn to page six of the slide. This slide summarizes our non-operating income and expenses for quarter one. The main contributors of the quarter included TWD750 million in interest income, TWD1.44 billion in investment income and TWD1.361 billion in foreign exchange gains, altogether it totaled TWD3.761 billion. Looking at slide seven, we have a snapshot of our balance sheet. At the end of quarter one, our inventory stood at TWD144.8 billion, representing a 13% increase year-over-year. This reflects our ongoing strategy since quarter four last year to build up strategic inventory to enhance supply chain and operational resilience. We believe that our inventory is at a healthy and appropriate level and we do not expect significant changes in the coming quarter. In other words, our strategic stockpiling is already at where it needs to be. At the same time, with our business performance improving, we have also seen better cash inflows, a stronger cash position, and an improvement in operating cash conversion metrics. Right now our CCC stands at 116 days. Now, let's look at slide eight, which shows our revenue breakdown by product category, system products made up 53%, open platform and components and servers accounted for 44%, while the AIoT business group contributed the remaining 3%. Geographically, the Asia Pacific region contributed 7% of revenue, Europe 31% and the Americas 22%. So to clarify, our reported revenues for the Americas includes both North and South America. That means it covers U.S., Canada, Mexico and the various countries in South America. But if we isolate just the U.S. market, its contributions to total company revenue can vary by season, typically falling within the low-10s to mid-10s range. We provide this additional context to help you better interpret our regional performance. Now turning to slide nine, this is our outlook for quarter two 2025. Starting with PCs, our main products, quarter one was already a high base in terms of shipments for PCs and we expect quarter two to deliver the sequential growth of about 25% to 30% for components and servers. Despite quarter one also being a high base, we are targeting another 16% Q-o-Q increase in quarter two. From an overall operational perspective, the most encouraging sign is that the industry cycle appears to be trending upwards. This includes our gaming product lines and AI server related offerings, both of which we are continuing to scale and expand. ASUS has already established a strong lead in these areas and we plan to keep increasing investment and strengthening our competitive edge. Now, looking at things from a different perspective, we want to highlight two major external challenges that all companies, especially ASUS, may face going into quarter two and quarter three. One is tariffs and the other is exchange rate volatility. These remain highly unpredictable factors, especially for export oriented business, since for ASUS we believe we are relatively well positioned. First, our business model is built on a diversified market mix. As shown on the previous slide, we have a significant revenue presence in Asia and Europe. On average, the Americas contribute -- or specifically the United States contributes less than 15% of our total revenue. In terms of currency exposure, over half our revenue is dominated in non-U.S. dollar currencies and those are primarily from the European and Asian markets. So this diversifies revenue and currency structure gives ASUS a level of built-in resilience against U.S. specific risks like tariffs and currency swings. Second, we continue to focus on high end innovative product lines that offer differentiated user experiences and more added value. This allows us to maintain leadership in key segments and we are actively investing more resources to strengthen that lead. This I believe also allows us to better deal with market fluctuations. Third, we have built internal mechanisms for responses to risk rapid market changes. This includes multiple operational contingency plans already in development or execution. These allows us to stay agile and responsive in the face of an unstable macro environment. Finally, I want to provide some additional context on exchange rates, specifically the recent sharp appreciation of the new Taiwan dollar against the U.S. dollar. So let's look at this from both long-term and short-term perspectives. Over the long-term, what matters most is that ASUS has a diversified revenue and currency base. As mentioned, more than half of our revenue comes from non-USD markets, while the majority of our procurement and cost base is still denominated in USD. So this means that in absolute terms our USD revenue is lower than than our USD denominated costs. In effect, we carry a net USD liability position. So when the U.S. Dollar weakens against other currencies, it actually provides some operating resilience and stability for ASUS in the long run. So that is my analysis of the long-term perspective. In the short term, however, a sudden and sharp currency movement can introduce volatility. The recent appreciation of the Taiwanese dollar could cause short-term mismatches in revenue and cost recognition due to timing gaps in exchange rate application. We expect these short-term impacts to play out over the next three to six months. During this period, continued volatility in the Taiwanese dollar could present challenges in our financial reporting and profitability, which we will need to carefully manage. Having said that, once the exchange rates do stabilize again, even if at a new level, I believe that our diversified model and relatively resilient operating structure will allow us to absorb and adapt to a lot of these new market situations. I think given that the exchange rate volatility is currently one of the most dramatic variables, we want to offer this eccentric explanation. Now I will turn the microphone over to our CEO Samson.
Samson Hu: I would like to thank Nick for his presentation. Now My name is Samson and I'm the co-CEO at ASUS. Now I will give the strategy and outlook presentation for today's earnings call. As Nick mentioned previously, we are in a very turbulent situation globally. We have turbulent trade policies and geopolitical tensions and conversion rate volatility and all of these are posing a significant challenges for the company. We will continue to demonstrate our operational resilience and flexibly adapt to the various challenges presented. Now to on a more tangible front, we have already adopted stockpiling in preparation for tariffs, as well as diversified our market presence to ensure supply resilience across regions. We are also working with supply chain partners to increase supply chain flexibility and that will help us better adapt to any unexpected events. We are also in talks -- in works with retail partners to implement dynamic price adjustment mechanisms for products to react to costs and market reactions in real time to maintain our product competitiveness and maximize revenue and margin. And as the CFO mentioned, we are also hedging our currency risks to effectively manage financial volatility and ensure overall stability. But I will also make special mention of the fact that we have introduced an AI tool called the AI Hub to optimize our internal operational processes and synergistic benefits to ensure that the company as a whole continues to upgrade. We are also positioning AI and gaming as dual growth engines for long-term growth as we continue to promote the development and application of AI products. At the same time, whether it's the ROG or the ROG tough product lines, we are also dedicated to securing our leading position in the gaming market. Next slide. I think ASUS relies very much on innovation to maintain our leadership position. We were among the first to introduce the Copilot Plus PCs to the market. And throughout the AI PC upgrade wave we have secured a leading position and received high acclaim from consumers. Specifically on the x86 platform, we are currently ranked as the number one Copilot Plus PC brand. I think this demonstrates our abilities to develop products and diversify our product offerings. Going forward, we'll continue to maintain innovation and design our products with the consumer in mind to promote the AI PC trend. Now I would like to make special mention of the fact that that the AI PC shipment grew 30% quarter-on-quarter and that our in-house share for notebooks also broke double-digits for the first time. Once again showing how AI PC is becoming an important part of the ASUS PC business group. For the AI PC product line we have extensive array of products from introductory to premium models. We have price competitive mainstream models to increase product penetration. And we on a more tangible level we have the more premium Vivobook’s to the more mainstream Zenbook’s and the gaming oriented product lines. Everything is already in place. Whether it's for creation or for daily tasks, we are -- our products are already in place. Going forward we want to focus cross platform integration to increase our application scenarios. Next page, we are talking about our gaming brand and ecosystem. We have a leadership position in the gaming notebook position for the -- in terms of market share. We have over 30% market presence for our gaming PCs, for gaming motherboards and gaming graphics cards. We are also the number one market share brand. So overall the RNG brand has a very solid brand reputation in the gaming ecosystem covering everything from laptops, AIOs graphics cards, monitors to even peripherals like keyboards and headsets. And in terms of a product performance perspective, our gaming related business has also demonstrated strong growth momentum. For quarter two, we anticipate that the year-over-year growth will be over 20% and specifically the gaming PC shipping volume for quarter two will be even higher and the Q-o-Q growth may exceed 30%. I think behind this growth we are seeing that player demand for high performance and next generation gaming experiences have not weakened. And so as we continue to upgrade our products and further integrate products across ecosystems, we are very positive and very optimistic about the prospects of the gaming system. For the next page we would like -- I would like to talk about products that we are debuting in the CES this year our latest gaming laptop with the RTX 50 series Nvidia graphics card has been on sale since late March. Market reception has been very positive in North America and other primary markets. Our laptops were almost instantly sold out. At the same time we are partnering with renowned music producer and ROG brand spokesperson Alan Walker. After he finished his Budapest and Hungary tour, he personally attended a store opening for an ROG store. I think again this demonstrates that for the so-called Generation Z creators, influencers play a significant role in influencing their purchasing decisions. For next slide, I think the highlight is definitely going to be the upcoming Computex. This year we are going to continue on the ubiquitous AI incredible possibility theme from last year to demonstrate the advancements that ASUS has made in the AI market. Whether it's infrastructure, application, platform, edge devices. We have solutions already in place. These will help our consumers with daily use, productivity tasks, specialized industry tasks and various key scenarios. We hope that these diversified AI solutions will further help industries and personal users realize smart transformation in their lives. For this Computex, our focus is on innovative design and high performance. We aim to exhibit a series of laptops, motherboards, graphics cards and other premium gaming peripherals. We will also have interactive booths to showcase needs and experiences of next generation gaming. We welcome any of you interested to come to Computex to experience ASUS's vision for AI and gaming. Next page, I would like to talk about our performance across our various business groups. Firstly, let's look at the System Business Group. For the System Business Group we saw that for quarter one 2025 our revenue grew by 10% to 15% year-over-year. Our market shipment also grew by 10% to 15%, which is higher than the market average growth of 5%. I think this again demonstrates the leading position that ASUS has secured in the market. I would like to make special mention of the Commercial PC revenue growth, which was over 30%, mainly derived from markets in the Asia Pacific in North America and in Europe. Our clients include government bids and corporate entities. And in particular our PC Expert product line, which integrates various AI solutions has allowed us to increase our foothold and product penetration among small to medium Enterprises. For AI PCs. As mentioned previously, we are the market leader. We have introduced solutions for various platforms and for gaming PCs we are of course also the leader. We have over 30% market share and going forward as the next generation of products hit the market that will further drive greater growth momentum. For the next slide we have the Open Platform Business Group. For quarter one 2025 our growth was 20% to 25% year-on-year. Our graphics card also saw a growth securing our leading position in the graphics card market. Our server business also exhibited double-digit growth. Despite the challenges present last year, we expect that sales shipment volume will continue to expand aiding in greater revenue growth going forward. For graphics card, we also had very positive shipment volumes helping us hit an impressive 40% to 50% year-on-year revenue growth for the display segment. This again reflects on our value oriented strategy for the RTX 50 series graphics card that also plays a key role for the in-house share. The 50 Series has surpassed 50% from a shipping volume perspective and that shows that we have successfully pushed for an upgrade trend in the market. So besides securing our leading position in the market, we are also accelerating generational replacements, which further helps with revenue and margin. Going into the next slide, we have the AIoT business group. For quarter one we had a 10% to 15% year-on-year growth. The main growth drivers come from the Asus NUC Mini PCs and other AIoT products. I think as Edge AI continues to make its presence know, we believe they are going into second-half 2025 we will be introducing an ultra-small supercomputer called the Asus Ascent [GX10] (ph). It has comprehensive AI capabilities for Edge AI and AI agent capabilities. And lastly, I will also make special mention of our Smart Medicine Solution. We have worked with the National Taiwan University to introduce an AI-based sudden death early warning system that can anticipate whether patients may go into shock or go into sudden breathing stop and allow clinicians to intervene ahead of time and increase patient survivability. This system or solution was awarded the Gold Edison Award in 2025. And going into the last slide, we are again very happy to report that ASUS has been able to secure the nomination from Calvert as among the top 100 global innovators in 2025, thanks to our strong R&D capabilities. Furthermore, ASUS also won 22 awards at the 2025 iF Design Award. This is the highest number of awards won by an enterprise entity in Taiwan and a recognition of ace's ability in design. Thank you.
Operator: I would like to thank the co-CEO and the CFO for our QA time. If you have questions please raise them in the left hand side panel. We will collect them and answer them afterwards. Okay, the first question comes from several investors and we was an KGI investment. So the first question is ASUSs response strategies to tariffs? How much of a stock does ASUS have for laptops and graphics cards and motherboards in the United States. And do you aim to increase production outside of China and where the costs will be passed down to the consumers? This is the first question.
Unidentified Company Representative: Okay, so I think that tariffs have been a very popular issue as of late. For our response, I think that was something that we already implemented starting quarter four last year we had several policies already in place to ensure operational stability. The first of course was our strategic stockpiling specifically for the U.S. market. We anticipated that tariffs may become an issue when President Trump came into office. So starting quarter four we already implemented advanced stockpiling and increased our inventory levels for the U.S. market. We currently have a three to six month inventory level in place depending on the product in question, whether it's laptops or motherboards. There's a three to six month inventory level already in place, so that's already ready. As for price adjustments, this is of course another one of our response strategies. As everyone knows, we have already diversified our market presence and our manufacturing presence in order to respond to the tariff policies. And as a result of that, we are of course going to have increased operating expenses and cover the tariffs itself. Of course now of course we are still in the so-called three month deputy tariff free period. So right now we are only looking at the tariffs. We are going to look at market reception and look at our revenue margins to see to modify our prices. And those price modifications are already in place.
Operator: So the second question from KGI is whether for -- is whether PC income have grew positively for first-half of this year and whether consumers are purchasing ahead of time? And also what does ASUS anticipate of the PC market going into second-half this year?
Unidentified Company Representative: So I think for the consumer market, especially the U.S. market, because everyone anticipated that tariffs will cause price hike. So we did observe that some consumers have decided to make their purchases ahead of time. So that is definitely a factor. As for PC demands going into the second-half of this year, we believe that because of the various factors at play, whether it's geopolitical tensions or tariff policies, we do believe that for second-half of 2025, demands for personal computers may turn to the conservative side. So that does spells some uncertainty for the PC market in the second-half of this year. So this year we expect that the year-on-year growth would shift from middle-single-digit growth to low-single-digits to perhaps even no growth at all. But of course a lot of these projections hinge on developments in tariff policies. So that may still change. But be that as may, because we've already mentioned them previously, ASUS is still leading the industry in terms of AI PC gaming and other premium applications, we are still seeing positive ship volume momentum. So we are optimistic that we should still be able to demonstrate significant growth, at least ahead of market averages for this year. Thank you.
Operator: Okay, so for the next question, we are again seeing a lot of investor organization asking about our AI server, our server business. So we're going to use the question from KGI asking how large does servers account for in the company in quarter one and quarter two? And also what is your server revenue target for the year 2025? Also, what is the current shipment volume for the GB200 products? And how have you modified your production basis for servers?
Unidentified Company Representative: So regarding AI servers, I think everyone knows that we are still in a transitional phase for the GP200 products. So from H200 to GB200, I think we are seeing that momentum for the GB200 to only really starting to pick up for quarter two, that is the end of March. So right now we are anticipating that AI servers will account for almost double-digit in-house market share. That echoes the mid-10s goal we mentioned last quarter. It's slightly behind, yes, but again that's because the GB200 product shift is really happening at quarter two. In other words, for quarter two we anticipate that servers will account for a larger share of the revenue. And that's our anticipation right now. As for the year 2025, our year-wide revenue goal echoes what we said at the last earnings call. We are aiming for mid-10s, that is a 15% in-house market share in house revenue goal. But again, as I mentioned the GB200 shift will really happen at quarter two for the server production bases. Currently we have Taiwan and China and the United States. So we have the U.S. production basis really mainly there to serve the U.S. clients. For European clients, we will be serving them through the Taiwanese production basis, so that's our strategy. Okay, thank you.
Operator: Let me address the next key concern that many of you are asking, which would be the impact of exchange rate fluctuations. The question, let's say was original raised by [Indiscernible] Life. So it asks if the USD to TWD Taiwanese dollar exchange rate changes by 1%. What would be the impact on the ASUS operating profit? Also, could the company provide a breakdown on the proportion of revenue and cost denomination in U.S. dollar to help with scenario modeling? And how does ASUS evaluate the impact of currency impact on non-operating items?
Unidentified Company Representative: So let me break this down into a few parts. First, regarding non-operating gains or losses, ASUS maintains an ongoing dynamic hedging strategy to manage currency risks. Based on our current approach and past experience, we generally assume a neutral baseline for future non-operating impacts. And that's really based on the dynamic hedging results that we have seen in the past. So in other words, we are really assuming net zero impact as a starting point for modeling. So from that perspective, even if the Taiwanese dollar appreciates against the U.S. dollar, we do not expect significant negative effects on non-operating results. So second, for operating impacts, we need to look at both the short-term and long-term effects as we did previously. Over the long-term, ASUS has a structural profile where USD denomination revenue accounts for less than 50% of our total, while our USD denominated costs are over 90%, close to 100%. This means that we have a net USD liability position. We spend more in USD than we earn. In this scenario, weaker USD, freely should not have any negative effects long-term. However, what we are really concerned about is the short-term effect, because rapid appreciation of the Taiwanese dollar can create challenges. For example, there could be a mismatch in our dynamic hedging. There could be timing mismatches between revenue recognition and cost booking, or between hedging execution and cash flows. So these pressures are likely to be most significant in the next three to six months. And we are actively monitoring and simulating the short-term conversion risks. Once this period of volatility passes and exchange rate stabilizes, we believe that the company's diversified business structure will provide us with resilience. So unlike companies that rely heavily on USD revenue and costs, our diversified model really does give us a lot of insulation and protection against these sort of fluctuations. If the U.S. dollar were to depreciate in value, it would not at least alone cause a significant dismay to the revenue for ASUS. So to summarize that is our assessment of the situation for the coming three to six months, we will continue to monitor the situation actively. Beyond that window, we expect that currency rates will become less of a negative variable for us.
Operator: Now for the next question from National Tsinghua University Endowment Fund regarding our graphics card business. The question is what is the proportion of how high, mid and entry level graphics cards in ASUS shipments? And for the U.S. market specifically, what share of total graphics card shipments go there? Also, is ASUS considering raising prices for the U.S. market alone?
Unidentified Company Representative: So ASUS is a market leader in the graphics card space. In terms of shipping volume for mid to high-end models, they account for over 50% of our total. And that's in the shipment perspective. If we look at it by value, the revenue share of mid to high-end volume is of course a lot more significant than entry level models. As for the U.S. market, shipments there account for about 10% to 20% of our overall graphics card shipping volume. Whether we follow the price adjustments of all the vendors, I will put it this way. Because ASUS holds a leadership position in the graphics card market, both in the U.S. and globally, we have a strong degree of pricing power. Having said that, we take a cautious and balanced approach to pricing decisions. On one hand we aim for profitability, but on the other we must consider the user experience and perceived value from the consumer standpoint. So any price adjustments we make need to account for both.
Operator: The next question comes from Morgan Stanley. They liked an update on the progress of the ROG Ally product. Specifically, they are asking about its current revenue contribution, impact on profitability and whether it helps lift or dilute overall margins. They are also interested in knowing how the product is expected to perform in second-half of the year.
Unidentified Company Representative: For the ROG Ally, I think it was launched two years ago as a broader effort to complete our ROG gaming ecosystem. So that means expanding from gaming laptops, motherboards, graphics cards and monitors and gaming peripherals. And now we are entering the handheld devices market and that's the strategic importance of the Ally. So from that perspective, the ROG Ally has helped strengthen brand presence and extend ASUS reach among gamers. But for tangible revenue results, I think there's going to be fluctuations when this platform switch. But we are very much committed to the ROG Ally. We have already launched the second generation model and in the second-half of this year we will be releasing new version with a better user experience. We are confident this will help further optimize both revenue growth and our overall profit structure.
Operator: The next question comes from Bank of America Merrill Lynch regarding exchange rate exposure. They'd like to know if ASUS holds a large amount of U.S. dollar cash or USD denominated assets such as U.S. bonds and whether recent depreciation of the U.S. dollar against the Taiwanese dollar will result in valuation loss?
Unidentified Company Representative: So my assessment is that yes, we do hold a certain amount of USD cash and a small portion of U.S. Bond investments. However, because ASUS operates as a global brand with international operation, these USD denominated assets are primarily held by our overseas headquarters and for the overseas headquarters their functional currency is the U.S. dollar. So from the accounting and operational standpoint, any valuation changes due to USD to Taiwanese dollar exchange rate fluctuations should not have a direct impact on our consolidated profit or loss. Our financial planning already accounts for these dynamics.
Operator: The follow up question is also from Bank of America Merrill lynch asking about AI servers for the enterprise customer base, particularly the share from Asia and progress in expanding North American clients. Right now and looking ahead for the second-half of 2025, our Asia-based clients still account for a larger portion of the business. However, compared to last year, we have made solid progress in growing our North American customer base. In fact, the ratio has increased year-over-year. To give a concrete example, both our GB200 and the upcoming series the first shipment went to a North American client, the GB300, so this shows we are making headway with customers in that region and we expect continued expansion moving forward. This should also help us build a broader foundation globally for our AI server business.
Operator: Okay, I think we have gone through all the questions submitted online and it looks like we have addressed the key issues that everyone are asking. We will now hand the microphone over to our CEO Samson for closing remarks.
Samson Hu: I would like to thank everyone again for participating in today's Investor Relations conference. As we have repeatedly emphasized today, the global environment has become more challenging, more volatile than ever, particularly when it comes to issues like tariffs and exchange rates, which many of you have asked about. These are real pressure on operations. But as we have also stressed repeatedly throughout today's session, ASUS is responding with a combination of agility and grounded mentality. Whether it's diversifying our supply chain, actively hedging currency risks, or building out a broader long-term market mix, or to our efforts in securing our leadership position in premium product segments from graphics cards to motherboards, everything helps to build resilience and we believe that these strengths will help us navigate what lies ahead. We would like to thank everyone again for participating. That concludes our earnings call today. Thank you all.